Operator: Good afternoon. My name is Mike and I will be your conference operator today. At this time I would like to welcome everyone to the Pure Storage Q1 Fiscal 2018 Earnings Call. [Operator Instructions]. I will now turn the call over to Matt Danziger, Head of Investor Relations. You may begin your conference.
Matt Danziger: Thank you and good afternoon. Welcome to the Pure Storage Q1 fiscal 2018 earnings conference call. Joining me today are our CEO, Scott Dietzen; our CFO, Tim Riitters; our President, David Hatfield; and our VP of Products, Matt Kixmoeller. Before we begin, I would like to remind you that during this call, Management will make forward-looking statements which are subject to various risks and uncertainties. These include statements regarding competitive, industry and technology trends, our strategy, positioning and opportunity, our current and future products, business and operations, including our operating model, growth prospects and revenue and margin guidance for future periods. Any forward-looking statements that we make are based on assumptions as of today and we undertake no obligation to update them. Our actual results may differ materially from the results predicted and reported results should not be considered as an indication of future performance. A discussion of risks and uncertainties relating to our business is contained in our filings with the SEC and we refer you to these public filings. Also during this call, we will discuss non-GAAP measures in talking about the Company's performance. Reconciliations to the most directly comparable GAAP measures are provided in our earnings press release and slides. This call is being broadcast live on the Pure Storage Investor Relations web site and being recorded for playback purposes. An archive of the web cast will be available on the IR web site for approximately 45 days and is the property of Pure Storage. With that, I'll turn the call over to our CEO, Scott Dietzen.
Scott Dietzen: Thanks Danzy and welcome to the team. Good afternoon everyone and thanks for joining the call. Pure had a successful first quarter, with both revenue and operating margin above the high end of our guidance. Pure is benefitting from or becoming a preferred choice for three growth markets; the data platform for cloud #4-#1000. Next generation data driven application, including AI and machine learning, and bringing our cloud capable platform to enterprise IT. As a result of our exposure to these markets, Pure is on track to deliver $1 billion in revenue this year, and to cross over to cash flow positive in the second half. Let me double click on each of these markets, before turning our attention to innovation, customer success and our expectations for the year. Let me start with new data driven workloads. Our customers are now using Pure's data platform for facial recognition, autonomous driving, medical diagnostics, advertising optimization and security assessment. Several of these used cases employ deep learning and other AI techniques. According to analysts, AI associated storage will grow 78% a year to $6 billion by 2020. In Pure's purpose built Class [ph] platform delivers the parallel performance necessary for advanced predictive analytics. We find our legacy competitors less likely to be considered, as their disc-centric design, even when retrofitted with all flash, slow down as the SSDs get larger, making them big in flow, while Pure is big in [indiscernible]. Second, the cloud. More than one quarter of Pure's business is selling Clouds #4-#1000 as our more than 500 software-as-a-service, infrastructure-as-a-service and consumer internet customers choose to build their own clouds with Pure, delivering a higher quality of service for lower cost. And finally, private clouds for IT. For the roughly 80% of enterprise workloads, not currently a candidate for public cloud, our enterprise customers are remaking their IT environment to deliver more of the simplicity, agility and subscription to future innovation afforded by the cloud model. Pure now serves nearly 25% of the Fortune 500. Our legacy competitors simply can't deliver on the promise of the cloud. Their solutions are too labor intensive, too difficult to scale, require customers to rebuy the same storage over and over, and to disruptively migrate data. While we occasionally compete with the Big Three public clouds, in all three of our markets, our business will continue to thrive, as our customers use Pure's data platform, in conjunction with the public cloud. Particularly for datasets that are too large to move across the internet. At our Accelerate User Conference next month, we will showcase tightly coupled co-processing between Pure and the public cloud. And now let me share a quick update no product innovation. While FlashBlade only became GA at the start of the year, momentum is strong, with sales growing roughly twice as fast, as FlashArray at the same stage. With unprecedented performance and density, FlashBlade is transforming the unstructured data market in the same way FlashArray revolutionized structured data. Last month we launched FlashArray//X which incorporates some of the secret sauce of FlashBlade to drive another multiyear leap forward. Of the major storage vendors, only Pure is protecting customer investment en-route to the all NVMe future. Our strong innovation story is reflected in our nearly 700 patents, granted or pending worldwide. The vast majority of which are software or cloud related. That's up by 200 from a year ago, demonstrating the continued excellence of our all-star engineering team. Bottom line, Pure data platform is -- we are helping customers accomplish things that weren't previously possible, and we are just getting started. Please join us next month at Accelerate, where we will introduce substantial new releases of our software for both FlashArray and FlashBlade, continuing the best year of innovation in Pure's history. And now I'd like to invite Hat to give you some color on how we are helping customers. Hat?
David Hatfield: Thanks Dietz. As I said last quarter, only Pure is delivering a complete data platform for the cloud era. We are providing the all flash foundation for new cutting edge workload, while also radically reducing the cost and complexity of enterprise IT. A combination of our FlashArray//X, FlashStack and FlashBlade solutions enables customer to put their data to work for both their existing and new unstructured workloads under one software platform. Helping customers analyze data from racecars, rockets, airplane, trains, cargo trucks, garbage cans, medical devices and even cows. IoT systems have transformed from periodic batch analytics, to real-time control systems, increasing need for low latency, high bandwidth and mission critical reliable storage, which Pure is uniquely positioned to deliver. In the quarter, we were thrilled with the momentum across our portfolio, spanning a number of used cases and industry verticals. Perhaps most significant, FlashBlade was recently selected to power one of the largest AI platforms in the world. Coupled with deep learning GPU processing technology, FlashBlade delivers unmatched performance density and allows for a faster data insight. These combined capabilities will enable profoundly better customer experiences, new revenue stream and competitive advantage for this company. In another case, a Fortune 50 enterprise customer is relying on Pure to build a private cloud, that offers their customers higher quality of service at lower costs than public clouds or legacy alternatives. This customer is standardizing on FlashArray for block storage, with upwards of 500 petabytes of usable storage purchased so far, and is now leveraging FlashBlade, where they are in structured environment, starting with Big Data Analytics. Consolidating on Pure's data platform provides the same attributes of simplicity and agility as a public cloud, while delivering higher performance and lower costs. Let me briefly mention some other noteworthy customer successes in the quarter. For next generation data-driven workloads, the city of Davenport, Iowa, a long time FlashArray customer for running their city's core applications, is now using FlashBlade to process video generated in real time from body, car and other police surveillance systems. KKG, a [indiscernible] nuclear power plant, similarly purchased FlashBlade for best in class performance, fast access to data, and ease of use. For cloud, MacStadium, the world's largest hosting provider of dedicated Apple Mac computers, selected FlashArray//X to deliver the best possible performance and density, for their fast growing cloud hosting business. Fujitsu Cloud Technologies in Japan chose FlashArray to support the expansion of its new cloud portfolio, with cost effective, consistent performance. Churchill Downs, known as the Kentucky Derby, and one of the country's largest gaming and entertainment companies, selected FlashStack to power Derby Day online wagering system. For enterprise IT, Oppenheimer and Co chose FlashArray to address rapid data growth, while cutting its datacenter footprint from 166 racks to 5 [ph]. And Cabela's, a leading outdoor retailer, chose FlashStack for its unparalleled simplicity and to reduce total cost of ownership by $4.3 million over the next seven years. We are enthusiastic about how our technology, business model, and customer experience are helping to transform our customer's digital businesses. In order to maximize the adoption of this innovation, we have focused our growth strategy on three key pillars; platform selling, pipeline, and partnerships. I will give you a brief update on each. We have made significant progress with our platform selling goals. We delivered more than 50% of our FlashBlade wins from existing FlashArray customers. Our company gross margin is holding, demonstrating our ability to differentiate and sell value, and our competitive win rates have improved across our top three competitors. Additionally, new FlashBlade workloads as outlined above are opening the door for net new customers in the EDA, media, genomics, cloud and other segments, following through FlashArray and FlashStack opportunities. Turning to pipeline, we are pleased with the Q2 pipeline and that's reflected in our guidance of the 34% year-on-year Q2 revenue growth. As we scale the company, we are excited to share, that Todd Forsythe has joined Pure as our Chief Marketing Officer. His background in building world class marketing organization, including multi-billion pipeline at Oracle, Cisco, Salesforce, and most recently, Dell EMC, uniquely qualifies him to take Pure to the next level. We are thankful for all that Jonathan Martin has contributed to Pure. He will stay on through our user conference, and we wish him well as he moves on to other opportunities. And finally, let me briefly discuss our partnership strategy; Pure's channel momentum continues with our partner's contributing more than 70% of net new logos in the quarter. In particular, we benefited from the increasing field engagement with Cisco and our shared partners. We are continuing to explore alternative routes to market with managed service providers, embedded solution providers and OEM, and we are deepening our relationship with the Big Three public cloud companies. More on this to come next month at Accelerate. With delighted customers, a robust partner community and more innovation than we have delivered in our history, we have great confidence in our goals for 2017 and beyond. Dietz, back to you.
Scott Dietzen: Thanks Hat. Before passing the baton to Tim, I'd like to reinforce the factors underlying our confidence in our billion guide for the year. First, success in platform selling, with more customers deploying FlashArray, FlashStack and FlashBlade. Second, we are seeing strong and predictable repeat purchase behavior within our installed base. Third, sales productivity continues to climb, and finally, our win rates remain high, with improving success against our top three competitors, Dell EMC, HP Enterprise and NetApp. With that, I will turn the call over to Tim to discuss our results, guidance and our drive to profitability. Tim?
Tim Riitters: Thanks Scott. As Scott said, Q1 marks another solid quarter and a strong start to our fiscal 2018. We are pleased with the excellent execution around our operating model, as we focus on consistent top line growth and continued year-over-year improvement in operating leverage. We are delivering on the key growth drivers that we laid out at the beginning of the year, and remain confident in our $1 billion for fiscal 2018. Before I dive into the specifics, I will make my usual note that the gross margin, operating margin, OpEx and free cash flow numbers I will use are non-GAAP, unless otherwise noted. Reconciliations of these non-GAAP metrics to their GAAP comparables, as well as our full Q1 results and presentation, are available on our web site, at investor.purestorage.com. Total revenue grew 31% year-on-year to $182.6 million in Q1, more than 4% above the midpoint of our guidance. Our Q1 revenue growth demonstrates the robust health of FlashArray, as well as the growing momentum of FlashBlade. As Scott and Dave have already noted, we believe that our unique software centric approach is enabling us to win new application, as well as continue to take share from traditional vendors. Product revenue grew 24% year-on-year in Q1 to $138.4 million, driven by strong repeat purchases among our existing customers and new customer addition. Consistent with prior quarters, across our entire customer base, for every dollar that our customers originally spend, they spend an additional $2 on average over the next 24 months. In terms of FlashBlade, we are now a full quarter into general availability and as you heard from Scott, FlashBlade is ramping very nicely. We are excited about the long term growth opportunities offered by FlashBlade, particularly, as we continue to add new features and functionality to address the whole of the unstructured data market. Support revenue in Q1 grew 57$ year-on-year to $44.2 million, driven by revenue recognition of ongoing support contract. Looking at Q1 fiscal 2018 from a geographic perspective, 80% of our revenue came from the U.S. and 20% from international. We continue to observe notable growth across all our regions. Total gross margin in Q1 of 66.4%, increased three-tenths of a point quarter-on-quarter and decreased nine-tenths of a point year-on-year. We continue to operate within our long term target model of between 63% to 68% total gross margin. Product gross margin of 66.6% remain consistent with Q4 and was driven by both continued strength in our FlashArray business and a strong performance from our FlashBlade product. Our industry leading gross margin, demonstrates the value our customers receive from our offering, validate the clear differentiation between our products, and those of our competitors, and finally, illustrate that the software first purpose built strategy we took from day one to maximize flash efficiency is working. We are especially pleased with achieving these results, against the backdrop of the current component market and while managing new product introduction. Support gross margins of 65.8% improved eight percentage points year-on-year and two percentage points quarter-on-quarter, reflecting our expanding customer base and the corresponding amortization of deferred revenue, as well as our continued efforts at driving operational efficiencies in our support business. Turning to operating margin; we continue to make excellent progress in our drive to profitability and toward our long term operating margin target of between 15% and 20%. Our operating loss was negative $30.5 million in Q1, or negative 16.7% of revenue compared to a loss of negative $41.1 million or negative 29.4% of revenue in the year ago quarter. This represents a 13 point improvement from the year ago quarter, and an eight point outperformance from the midpoint of our Q1 guidance. The strong year-on-year improvement is due largely to the inherent operating leverage of our business, plus a small benefit from the timing of our Accelerate conference shifting from Q1 last year to Q2 this year. The eight point over performance from the midpoint of our guidance, is driven by a combination of factors. Number one, a notable outperformance on our top line. Number two, better than expected product gross margin, and number three, modestly lower operating expenses. We are very pleased with the leverage in our business, and we will continue to execute on our strategy of driving efficiencies. But investors should not expect the same magnitude of outperformance on operating margins in Q2. Total headcount at the end of Q1 was over 1,800, up from over 1,700 at the end of Q4 and up from over 1,500 a year prior. Largely reflecting ongoing hiring in both our sales and R&D organization. Moving on to the balance sheet and cash flow; we finished the April quarter with cash and investments of $536 million. Our free cash flow was negative $27.1 million or negative 15% of revenue, compared to negative $17.6 million or a negative 13% of revenue in the year ago quarter. Please note, that this includes $9.7 million of cash impacts related to our employee stock purchase plan. Note that our free cash flow this quarter was also impacted by a series of opportunistic pre-purchases of Flash inventory, which results in an increase in inventory in our balance sheet. These efforts are part of our overall strategy of actively managing component costs within the current demand-supply environment. Let's now turn to our guidance; for the second quarter of fiscal 2018, we expect revenues of between $214 million and $222 million. This represents 34% year-on-year revenue growth at the midpoint, and is based on strong momentum in our FlashBlade business, solid growth in our current FlashArray portfolio and the addition of our new FlashArray//X product offering. We expect Q2 fiscal 2018 non-GAAP gross margin in the range of between 63.5% and 66.5%. We have been operating within our long term gross margin targets for six quarters now, and remain focused on driving industry leading gross margins. We will do this, while continuing to invest strategically in building our still new FlashBlade business, as well as prudently managing through the current component supply environment. We expect Q2 operating margin of between negative 16% to negative 12%, as we continue to make thoughtful investments, both to newer innovation grow our go-to-market efforts. We will invest in the business, while continuing to drive year-over-year improvement in our operating margin performance. This guidance represents a five point year-on-year improvement from the year ago quarter, even after including the cost of our Accelerate event in this year's Q2, a cost that was in Q1 last year. On cash flow, we remain on-track with our goal of turning sustained free cash flow positive during the second half of the current fiscal year. Looking at next quarter consistent with prior years, Q2 tends to be the seasonally lowest point of free cash flow for the company, given timing of bookings and investment dynamics. Turning to the full year, our strong start to Q1, gives us more visibility on and increased confidence in our full year fiscal 2018 guidance, which is revenue of between $975 million and $1.025 billion. Total gross margin of between 63.5% and 66.5%; and operating margins of between negative 9% and negative 5%. With factors that underpin this guidance and our long term success remain the same. Repeat business continues to deliver, with existing customer business representing approximately 70% of Q1 results, we continue to acquire new customers at a very steady rate. Our customer count is up over 70% year-on-year. Sales productivity continues to climb nicely. FlashBlade is tracking well and finally, we are just getting started with new innovation, including FlashArray//X, synchronous replication and a host of new software capability. As you can see, we have had an excellent start to the year, with a solid quarter on both the top and the bottom line. The factors behind that performance provide further evidence that our strategy is working, that our market position is strongly differentiated from our peers, and that this is delivering both strong revenue growth and operating leverage, and it's this that gives us the confidence both this year and beyond. In closing, we look forward to seeing many of you at our Investor Day in June, and with that, we will open the call for questions. Operator?
Operator: [Operator Instructions]. And your first question is from Aaron Rakers from Stifel.
Aaron Rakers: Yeah. Thank you for taking the questions, and congratulations on the quarter. I wanted to first talk about FlashBlade. I know that you have talked about the ramping in line with what your initial expectations were, two times that of the FlashArray. But I am curious, if you can give us a bit of context of what you have seen, as far as the deal sizes for the FlashBlade when you compare that relative to the FlashArray, and I do have a quick follow-up as well?
David Hatfield: Aaron, this is Hat. We saw great momentum in FlashBlade, obviously, in line with our expectations. We are thrilled with the big AI platform win, but that was one of many, and we are starting to see repeatability across used cases. We don't comment obviously on the specific deal sizes, but you are talking about petabyte level replacements, and so -- in mission critical environments. So the platform selling motion is working, and I think that is a nice tailwind for the overall productivity metric that our sales teams have been able to enjoy.
Aaron Rakers: Okay. And then as a real quick follow-up, curious if you could talk a little bit more about your relationship with Cisco. How meaningful that is, any kind of qualitative or quantitative commentary you can provide? And then in your commentary, you also alluded to the potential for OEM opportunities. I wondered if you could talk a little bit about that. What type of opportunities would be a natural fit for somebody like Pure?
David Hatfield: Sure. So first on Cisco; the combination of the competitive landscape and the bottleneck shifting back to the network with these large AI machine learning workloads, just creates a natural alignment between Pure and Cisco; and so we are seeing a real natural momentum in the field. And so, that's a positive and that's reflected in our year-over-year FlashStack growth. We are also continuing to establish a deeper relationship with the product organization, so you will see us do more and more integrations with them, and announce that through CVDs. So just in general, we think there is great momentum that's just naturally formed by the competitive landscape, and the fact that you are going to need a shift of 40-gig and 100-gig networks as AI and these really data intensive workloads, make their way to market in a more mature, and more mainstream fashion. Relative to OEMs and embedded and managed services providers, there is a plethora of opportunity for us that are vertically specific in either oil and gas or in media that we can go get embedded in, that we are having active discussions, as well as continuing to think about how we power the cloud companies that we support today, but deliver better managed service offerings for customers. So more to come on that. We think there is a big opportunity for us to pursue and get different [indiscernible] routes to market.
Aaron Rakers: Okay. Thank you very much. Congrats again.
David Hatfield: Thank you.
Scott Dietzen: Thanks Aaron.
Operator: [Operator Instructions]. Your next question is from Steven Milunovich from UBS.
Steven Milunovich: Thank you. First, I just wanted to clarify, do you have more or less confidence in your $80 million FlashBlade expectation for the full year? And then I wonder if you could talk a little bit about your win rate; you mentioned that they are a bit higher relative to some of the large competitors, why would that be the case at this point?
Scott Dietzen: So Steve, we have more confidence in hitting the $80 million target for FlashBlade, just because we have had a quarter of execution under our belt. And we think we are particularly excited by some of these next gen data driven, predictive analytics applications, especially those that include deep learning; because that's such an exciting market. There is a report out that said, storage for AI specific workloads is going to grow to $6 billion and we think we are uniquely well positioned in storage to play for that TAM. And of course, we have the platform selling motion, where we are seeing nice crossover for FlashArray into FlashBlade customers, as well as upselling our FlashBlade to FlashArray. And that was only one part, the other part of that question?
Steven Milunovich: Your win rates?
Scott Dietzen: Oh yes, sorry. So specifically, win rates against the competitor we see so often, which are Dell EMC, HP Enterprise and NetApp. We saw an uptick in those win rates. I believe this is product innovation, predominantly, that's driving it. You have seen the launch of FlashArray//X. Of course, the launch of FlashBlade this year, and we have got a great payload of software innovations that are going to hit at the Accelerate conference coming up. And so I think it's best six months of launches of innovation in the company's history, that's really helping the uptick in the win rates.
Steven Milunovich: Thank you.
Operator: Your next question is from Maynard Um from Wells Fargo.
Maynard Um: Hi, thanks. I am wondering if you can talk a little bit about your philosophy around profitability? It looks like the back half of this year, but more importantly, as you start to turn a profit, can you talk about the philosophy around letting the upside flow through to the bottom line, or do you anticipate managing your profits and reinvesting the upside back into revenue growth and share gains? I guess, how do you balance the profits versus growth? Thanks.
Tim Riitters: Yeah so Maynard, this is Tim. In terms of driving leverage; we have been driving leverage for several years now. Philosophically, we'd like to cut that operating loss rate roughly about 50%. We have done that the last three years in a row, and based on the guide going from negative 13% this year to negative 7% for this year, explains kind of just how we see us getting to that breakeven point. We are not providing any sort of guidance yet in terms of once we cross-over that threshold, how much we reinvest back in the business. But I would put a shameless plugin, for coming to talk to us at Investor Day, where you will hear us talk a little bit more about the road ahead, and how we think about the next step for Pure, once we get past that point.
Scott Dietzen: Certainly, the intent is to continue to drive operating leverage in the business, as we cross over to profitability. But we want to do that prudently, right, because the goal is to -- we have a $35 billion TAM that we want to go capture as much of as possible.
Maynard Um: All right. Thanks guys.
Operator: The next question is from Katy Huberty from Morgan Stanley.
Katy Huberty: Thank you. Congrats on the quarter. First question is on FlashBlade; how much are you leveraging the channel versus your own direct salesforce for that business in particular? And then Tim just as a follow-up, DSOs were up year-on-year and sequentially quite a bit, does that speak to a shift in more direct sales of what's driving that? Thank you.
Scott Dietzen: Hi Katie. Maybe I will take the first question and I will hand it over to Tim. Thanks for that. Certainly the channel that we have today, is the same channel that we will be leveraging to get into. FlashBlade, we saw great progress there. Eager to get into AI and machine learning and a bunch of new applications. Many of them have a state in established relationship with a competitive vendor that candidly, just doesn't have the competitive differentiation that our FlashBlade technology does. So you have our existing channel, which we think will be our primary route to market. Similar with our FlashArray in the early days, we do have our FlashBlade account specialist engage on these deals, training them up and walking customers through. But it's a very straightforward value proposition that we think they will be able to take and run with, just like they learn to do with FlashArray. Secondly, I'd say that there is a group of specialist channel partners that are out there, that are focused on high performance computing, and other areas of specialization that extend our channel ecosystem as well. And so, we are establishing partnerships with them, in addition to our existing channel.
Tim Riitters: And Katy, on the question of DSO, what you are seeing there primarily, is seasonality becoming more pronounced, given the growth rates are more moderate than they have been historically. So we had quarter-on-quarter decline of revenue, circa 20%. The AR balance goes down 20% as well, but you average it against a high AR balance coming out of Q4. So you are going to get those DSO spike. The one thing that we look at internally, is what we call weighted average dates of pay, and that number has stayed remarkably consistent for quite some time now. So there is no real change in the types of partners or the terms we are extending, it's all pretty similar. It's just a function of seasonality on the balance sheet.
Katy Huberty: Okay, got it. Thank you.
Scott Dietzen: Thanks Katy.
Operator: The next question is from Alex Kurtz from Pacific Crest Securities.
Alex Kurtz: Thanks guys. A quick clarification. Tim, if you weren't dealing with component costs, elevated component costs as well as the lower volume that you have in the Q1, could you have gotten close to 70% on the product margin? Then the clarification is on the productivity improvement; would you say that your bell curve reps are closer to hitting or exceeding quota, than they were last year?
Tim Riitters: So Alex, on the first question, I think that 63% to 68% gross margin range we still like, right? If you recall kind of a year ago, we were up in the high 60s, kind of 69% on the product side, and we felt that that was just about getting out of the range, where it was the right trade-off to grow and keep the velocity growing in the business. And so I think, getting closer to 70% is probably not the right thing for the business, but we certainly like the industry leading gross margins, kind of mid to high 60s that you have seen for several quarters now. So that's how I think about and I think that's about the management team thinks about overall product gross margin. And then, to the second question you have, remind me again the question there Alex?
Alex Kurtz: Yeah. Just goal attainment by the average -- yeah.
Tim Riitters: Productivity. Yeah, you know, what we have seen -- and it has really been a great phenomena for us. And we have talked about this a lot, but every class that we bring in, we continue to see that that new class of the year is climbing faster than their cohorts of previous years, not the dynamic we have talked about in several calls, and we saw it again this year. So that's calendar 2017, Q1 cloud performed very-very well, and it's something that we are really happy about.
Alex Kurtz: Thank you.
Operator: The next question is from Jason Nolan from Robert Baird.
Jason Nolan: Great. Thank you. I wanted to ask on international, 20%, that's a little below recent trend. Is there anything to highlight outside the U.S.?
David Hatfield: Yeah, this is Hat. So year-over-year actually, I believe we were 81% mix. So I think we are kind of in line with where we were on a year-over-year, Q1 basis. And we had great contribution from APJ, EMEA, South America and America. So we feel like we are right in line with expectations.
Jason Nolan: Thank you.
Operator: The next question is from Mehdi Hosseini from Susquehanna Financial.
David Ryzhik: Hi thanks. This is David Ryzhik for Mehdi. Tim, can you help us understand OpEx for the July quarter? When we look over the past four, five quarters, the average quarterly increase was around $4 million per quarter and SG&A has been pretty flattish. How big is the Accelerate as an item for this quarter, and is there anything else that we could expect for OpEx, given your implied guide? Thank you.
Tim Riitters: I guess I would say a couple of things, we won't disclose exactly what the Accelerate budget was, but I will say, had a little bit of an impact on the operating margin. Basically, consistent with last several years of how we have operated the business, the biggest investment quarter is Q1 and the followed by Q2, and then as the back half sort of unfolds, you get a lot more leverage in the business. So that game plan, if you look at how we have invested in prior years on a seasonal basis is probably a good yardstick I would use, to help continue to understand the business going forward.
David Ryzhik: And just a follow-up for Scott, kind of high level; it seems like FlashArray is doing pretty well. Why wouldn't FlashArray -- just alone on FlashArray, why wouldn't you be able to even hit your revenue targets, just on that alone, and without even any FlashBlade? Just curious what your thoughts are on that market and the growth rate in that business? Thank you.
Scott Dietzen: There is no question that there is a very large, totally addressable market for FlashArray, and we believe we are pulling away from the competition with the innovations that we have already launched this year in //X as well as the new software innovations that come at Accelerate. So we have a huge opportunity in that market. But we are equally as excited about FlashBlade, and long term, this is about the platform. We are providing a data platform that works for the combination of different workloads that our customers face, and works well together and integrates with cloud, so that they can deploy the hybrid cloud solutions they need to run their businesses today.
David Ryzhik: Great. Thanks so much.
Operator: The next question is from John Lucia from JMP Securities.
John Lucia: Hey guys, thanks for taking my questions. I think if AI and machine learning is often being a component within a product or a business process. Can you talk about how you are specifically targeting AI and machine learning workloads? Does the sales motion change or is there channel education that's required, and then what type of customers, who are the buyers here for the product in those specific workloads?
Matt Kixmoeller: This is Kix, I will take this one. I'd say in general, I think we have been surprised that the diversity of industries and types of customers that are jumping into this. Just to give you an example, within Pure ourselves, we have a group that's doing advanced AI and [indiscernible] data. We are very serious about being an IoT company ourselves. And so, across a broad set of industries, we see this happening, this journey. I'd say it generally starts within the analytics team, where you have seen people move from Big Data to trying to kind of understand this new era of intelligence and so it's taking analytics, moving it to real time, and starting to use these new next-gen models around AI, [indiscernible] e-learning, etcetera. And so, in general, one of the nice things from a product point of view, is it really changes the storage mix, and we think it's an area where there is a real mode compared to traditional competitors. If you look at this transition in success, for example Nvidia is having in this space with GPUs, it's all about the massive parallelism that GPUs can bring. And so the same transition needs to happen in storage. You need widely parallel, super-fast, high bandwidth storage to feed those -- that parallelization that's happened at the servers here. And so that's the opportunity we see.
David Hatfield: So John just to add to that I guess, from a selling motion perspective, it's a pretty easy thing for our field reps to be able and our partner reps to go qualify new workloads. It oftentimes is in dev-ops, it’s the application owner, it's other people that really own the business outcomes. And so there is education that needs to happen within our sales team and within our partner community. And I think it's important to also note, that this is our first quarter of GA on the product, and so it will ramp, and we will spread the word. But success begets success, and so we are thrilled with the success cases and the used cases that we will be able to repeat from Q1 and beyond.
John Lucia: Okay. Thank you.
Operator: The next question is from Nehal Chokshi from Maxim Group.
Nehal Chokshi: Thank you. Good quarter. Can you characterize your distribution of upside between FlashArray and FlashBlade? It sounds like it's primarily coming from FlashArray?
Tim Riitters: Yeah Nehal, this is Tim. We had a good quarter on both of those businesses. We don't split them out at this point in time, given the relative magnitude of each, but I would just finish up by saying, for both of the businesses, we are very happy about the performance.
Nehal Chokshi: Okay. And then for that large platform AI win -- was it in your plan being 2X of FlashArray, or was that [indiscernible] on top?
David Hatfield: Yeah. We are in line with the 2X multiple that we provided last quarter, that was our expectation, and it will be a combination of these used cases, as Kix noted, that are next generation used cases within that new industries and companies, as well as going after traditional filer and object install base. So that was just part of our plan.
Scott Dietzen: I want to reinforce, the wins that we are enjoying in FlashBlade are broad and diverse. This is not a concentrated business yet, despite this very exciting and compelling win.
Nehal Chokshi: All right, thank you. I will get back in line.
Operator: Next question is from James Kisner from Jefferies.
James Kisner: Thanks guys. So again nice quarter and guide. So appreciate the comments on the inventory of around having to secure supply. But the inventory is up an awful lot sequentially, is there additional drivers there, is there more FlashBlade inventories preparing for the ramp in revenues sequentially? It seems like it's up quite a bit, but just [indiscernible] able to comment more on just how aggressively you stockpile NAND? Is it two quarters worth, one quarters worth, just any kind of thoughts you could give us on that would be helpful? Thanks.
David Hatfield: James, going from about $20 million up to about $40 million rough and tough. The majority of that was raw material for both the FlashBlade product and FlashArray product. We were able to secure some very nice pricing on NAND, that really sort of drives that visibility and that confidence in the next couple of quarters. There are timings of the other inventory movements, but the majority of there out there, was this opportunistic purchase.
James Kisner: Okay. That helps very much. And just also on services margin, I mean, you talked about product margin, but seems to be going up. I mean, does it have a natural ceiling here, and could it keep drifting higher, like what do you think?
David Hatfield: Yeah. You know, the support organizations here have been doing a fantastic job of driving industry leading customer satisfaction, yet driving a very-very efficient business. We are particularly proud of all the work that these guys do for us. In terms of going forward, I think that we will still continue to see some nice leverage on it. It's a natural scale business, and so there is some opportunity there. But again remember, that what we have always done is guided overall gross margin. So we like that kind of mid to high 60 range for our overall gross margins.
James Kisner: Great. Thanks very much.
Operator: The next question is from Steven Fox from Cross Research.
Steven Fox: Thanks. Good afternoon. Just going back to the comments you made about taking a platform approach of senior sales force, can you give us a sense of how well built out that approach is across the salesforce? Given that new product ramps are relatively new beyond FlashArray, and how would you sort of describe it's potential to sort of broaden in the next couple of quarters?
David Hatfield: Hi Steven, this is Hat. So we have been very deliberate in rolling out FlashBlade. We had a directed availability process, to make sure that the used cases were understood in the second half of last year. That helped ramp the education and the awareness within our sales teams. It has also been really great to take our early cohort to rate builders and evangelists of new technology, who have been building Pure over the last four years, and understand our partner network and understand our customers, and understand all of our sales teams, and place them into these roles, so they can be the specialists. So it's a very natural engagement. The AEs that are out there in the field, selling the core products, want to get these world class salespeople involved in their business. And so it's a very natural kind of overlay model, where you deliver -- you kind of have a one too many leverage. So I'd say the momentum in that has been as expected and very positive, and we are not breaking out, obviously, the mix, but we are very confident in the $80 million this year with that team, and with this model. I think as we get more and more wins, heading into next year, with the market success that we have, we see this as a great contributor to our business for the long term.
Steven Fox: Great. That's very helpful. And then just real quick on the cash flow side; so as the company moves across into the black for cash flows in the second half of the fiscal, I guess, I am just trying to understand if there is any risk around sort of for the purchases of NAND that maybe could have that slip a quarter or two or do you feel like you are comfortable, even with what's going on with the NAND market? Thanks.
David Hatfield: Steven, that's deliberately why we had given some room in terms of the second half. So I think right now, we feel confident in terms of where we have been from a NAND purchase perspective and what the quarters look like ahead of us.
Steven Fox: Great. Thank you very much.
Operator: The next question is from Rod Hall from JP Morgan.
Ashwin Kesireddy: Hey guys, this is Akki on behalf of Rod. Thanks for taking my question. I wanted to follow-up again on the NAND supply dynamics. I know you have talked previously about how you used Flash efficiently and that you have got good relationships with your suppliers, so you see a limited impact from the supply constraints. But did you see any impact at all to your gross margins this quarter?
Tim Riitters: This is Tim. We were particularly pleased about continuing to sustain that industry gross margin. As you saw on the product side, it was flat year-on-year. We had strong relationships with all of the sort of suppliers. We have been multi-sourced from day one, using consumer grade flash. And that mix and match and how we design the efficiency of our software from day one also, has allowed us to continue to work through this environment and still drive that sort of high 60s range product gross margin.
Scott Dietzen: And maybe I will add; I do think the constrained supply in some ways helps our business. We get two to five times the flash efficiency of our core competitors, which drives down costs. We can use consumer grade flash, because we are able to harden it with our software, or enterprise workloads and our competitors don't enjoy those luxuries. So I mean, I think in some ways, it has actually helped us continue to accelerate the business.
Ashwin Kesireddy: Just to follow-up on that, so if NAND prices keep going up until maybe mid next year, would you still see very limited impact or do you expect this [indiscernible] more material impact on your margins?
Scott Dietzen: I think you would have to quantify that scenario a bit more specifically than that. We feel like we are doing a very good job managing our business, based on the significant insights we have into how supply is going to continue to evolve in this market. And so we feel confident that we can stay within our operating margin range for the next several quarters, and by the way, there is more capacity that will be coming online, as fabs are retooled for 3-D lithographies.
Ashwin Kesireddy: Thanks.
Operator: The next question is from Eric Martinuzzi from Lake Street Capital.
Eric Martinuzzi: Yeah. Just a question regarding new logos. Obviously with the two -- with FlashArray and FlashBlade, in some cases when you are winning a new logo with FlashBlade now, have you seen any change in -- where the incumbent, one of your top three competitors, how they are trying to respond to your entry with juxtaposing FlashArray versus FlashBlade?
David Hatfield: Yeah Eric. So first, we are pleased with the net new logo, new customer acquisition for the quarter at 300 and the progress that we had in the Fortune 500 from 20% over the last several quarters now, up to 25%, being pure customer. So we like that progress, the new logos. I think as it relates to the new workloads that are coming from -- for the FlashBlade specifically. So that's opening up markets like EDA, genomics and media, where actually the competitive landscape is a little bit more long in the tooth. We haven't really attacked these guys until this last quarter, and we are recognizing that, we can win there, candidly we think, with a more differentiated product, value proposition than what they have seen in years. So I don't want to say that it's easier, but I certainly think that we have got a huge opportunity to go differentiate with the FlashBlade technology, as it compares to what's there today.
Eric Martinuzzi: Okay. Thanks, that's helpful. Just one housekeeping item for Tim. When you do turn profitable, the weighted average share count, what are you using for your EPS count there?
Tim Riitters: Yeah. So Eric, the fully diluted will turn over to fully diluted, that's about 278 million -- 279 million fully diluted shares.
Eric Martinuzzi: Thanks.
Operator: The next question is from Srini Nandury from Summit Redstone Partners.
Srini Nandury: All right. Thank you for taking my question. I will ask a big picture question; can you talk about your thoughts on converged infrastructure and outlook? What do you think, [indiscernible] impact is on the network storage?
Scott Dietzen: So the markets that we are playing in, favor converged infrastructure over hyper converged. So if you look at what's going on in clouds #4-#1000 that we are playing in. If you look at the market for these next generation data driven applications, which include AI, but a lot of other predictive analytics, as well as the enterprise datacenter, all of those markets strongly favor converged infrastructure over hyper converged. We do see hyper converged in our business, it tends to only be on the enterprise side, and it tends to be down market, remote and branch office and smaller businesses. But the core growth markets that we are playing in, the large enterprise datacenter, the cloud and these next gen data driven workloads, hyper converged is really not effective.
Srini Nandury: Okay, all right. Thank you so much.
Operator: The next question is from Simona Jankowski from Goldman Sachs.
Simona Jankowski: Hi, thank you. I just wanted to expand a little bit more on the upside in gross margin, especially in the context of the higher input costs. So I guess firstly, is FlashBlade coming in at lower margins as you had expected, or is that actually turning out a bit better in its profile? Secondly, some of your competitors had talked about pushing through price increases, so curious if that's something you have undertaken as well, or if you see that out in the market, and how it is affecting you competitively perhaps or benefitting from that? And then just lastly, I think your customer adds in the quarter at 300 or less than last quarter, but curious if that shift to existing customers might have also helped on the margin side?
Tim Riitters: So Simona, on your first question around gross margin, in terms of overall product gross margin; we continue to be happy with where those gross margins are, in terms of component costs. We were able to sort of continue to sustain those gross margins. On the FlashBlade side, we have always said that FlashBlade right now is running a bit south of where FlashArray is, as part of the plan. I would say this quarter, we were surprised that that FlashBlade margin ran higher than what I was expecting. Again, still below our FlashArray margin, but we turned in a very good quarter. We had some really good marquee wins and we sold value there. So that was part of the strong showing in terms of our overall 66% product gross margins.
David Hatfield: So I think the only thing I'd add there is, we have not increased our prices. In fact, it has been kind of paradoxically a bit of a tailwind for us, and I think, it maybe has contributed somewhat to our increased win rate. Although it's still kind of early to determine if that is material. But I think the fact that we are actually to sort of accentuate our value proposition and leverage the platform selling notion of selling the complete suite, those are contributing I think more handily. But paradoxically, I do think it is actually a nice tailwind that's influencing our win rates.
Tim Riitters: And Simona to your last question around 300 adds, yes, it's down a bit from Q4, but at 300 a clip, that's still roughly four, five new customers every single business day, which we are particularly proud about. And to put it also into context, we are up 73% in our overall aggregate customer count from the same time last year. So lot of good opportunity to see those repeat business metrics that we talk about kick in for the new set of customer that we have acquired over the course of last year.
Simona Jankowski: Yeah. No and that last question was just more in the context of margins, because my impression is that, new customer adds may come in at lower margins. So just curious if that mix shift was beneficial to margins in the quarter?
Tim Riitters: Not significantly. I think it goes right back to what Dave was talking about, in terms of just being very focused on selling value. We fundamentally have a differentiated product. Our customers tell us that all the time, and that's what we have been able to do here for the last several quarters in terms of operating in that sustainable gross margin range.
Simona Jankowski: Thank you.
Operator: The next question is from Mark Moskowitz from Barclays.
Dan Gaide: Hey guys. This is Dan Gaide for Mark. Thanks for taking my question. So just quickly, can you talk about the adoption of FlashBlade versus FlashArray, just in different verticals, like the cloud vertical that you have mentioned? And then we understand that your corporate run rate is still pretty consistent and high, but how is that differed between FlashBlade and FlashArray? Thank you.
Matt Kixmoeller: Yeah, so this is Kix. I will take the different verticals question. I think one of the things that has been awesome about FlashBlade thus far, is that we are seeing kind of a duality of where we can sell it. On one hand, it opens up a whole new set of used cases that we weren't able to go after with FlashArray. And so, in the whole area of AI and all, that we have talked a little bit about here, but also the broader area of engineering and simulation type workloads, planes, trains, automobiles, ship design, genomics, oil and gas, media, etcetera. On the flipside though, we are also seeing a pretty big uptick in just general purpose analytics. And the nice thing about that is, as the world continues to march towards digitization, pretty much every company and every industry is a digital business at this point, and they have all got a big investment in analytics and data. And so we are seeing this kind of graduation from the first generation of Big Data, where Big Data was kind of big but slow, to be able to bridge over and give people a world of big and fast data. And so that's kind of a sale that's working. And I think we have talked about this before as well, but I think we have been pleasantly surprised about the pull in both directions. So we have seen good interest from our existing FlashArray base, selling into new parts of their businesses, but we have also seen people buy FlashBlades and then turn around and buy FlashArray with an IT. So it's a nice kind of helpful trend in both directions.
Scott Dietzen: And for the purposes of our reporting on win rates, we are talking about aggregate win rates across the platform. So that is rolling together FlashArray and FlashBlade wins, and that's the way we are going to continue to run the business, to give you a blended win rate, rather than trying to break them out per product.
Matt Kixmoeller: Maybe the only thing I'd add to that, just from the competition point of view is that, one of the reasons that we are excited about the FlashBlade business is that we just don't see as much natural competition. I mean, you essentially have the legacy [indiscernible] environment and the Isilon environment from EMC, which seems both of those vendors kind of do retrofits and just put big flash drives into those systems without doing any fundamental innovation. And we have now gone head-to-head against the all flash versions of both of those products and are faring quite well. So we are quite excited about what we see there.
Dan Gaide: Perfect. Thanks guys.
Operator: The next question is from Simon Leopold from Raymond James.
Simon Leopold: Great. Thank you for taking my question. I wanted to see if we could get an update on how you see the competitive landscape. And in particular, I presume, you have benefited to some extent from some of the disruption of Dell being integrated into EMC and HP Enterprise and it's various transition, Cisco is sort of shifting its business model. So our impression is that these companies maybe a little bit less focused on the areas where you are playing. So I want to see if you could give us an idea of how much that's benefitted you and how you see that playing out as maybe your competitors get a little bit more focused on competing directly against you?
Scott Dietzen: So, as we have described in the past, we continue to compete roughly along market share lines. So things like public cloud or hyper-converged factor into very small single digit percentage of the competitive engagement. And so most of the time, we are going up against the legacy players. In general, these are products that were designed north of 20 years ago, long before there was flash memory, and long before there was a cloud model of computing. And that's why these technologies are -- they are just not designed to fit into cloud workloads or these new data driven applications, and those are two markets that are relative greenfields, where the competitors don't play well. Enterprise IT is the one that is the more competitive. I would say the biggest material uplift we feel is from the partners. There is a very strong Cisco partner community that we are already plugged into. Concerns they have around Dell EMC competing with corresponding Cisco products, I think is bringing business in our direction. But the reality is, this is a C-change [ph], right? We are benefitting from the secular shifts, away from this complicated, expensive, fragile technology, to something that is designed to deliver on the benefits of the cloud, even in the customer data center, and the performance that's only purpose built, engineering, can provide in flash, that retrofits will never be able to offer.
Simon Leopold: Great. Thank you.
Operator: Our last question at this time is from Jason Ader from William Blair.
Jason Ader: Thanks. Right to the wire. So my question guys is on the //X series; can you talk about some of the early use cases you are seeing for the //X series and then, do you see the //X as incremental to the //M or is it more just -- there was an //M series opportunity and now it's just going to be filled by an //X series?
Matt Kixmoeller: Yeah, so this is Kix, I will take this one. As we might have noted, we did both announce, but also shipped //X last quarter and so our engineering over-delivered on that nicely, and we are able to count some wins in even this quarter. But I think we are really excited about the opportunity that NVMe brings to the business kind of from three perspectives. First off, it's just an obvious competitive mode for differentiation. We saw NetApp come out of their IR day and say NVMe adoption was two years out. We saw Dell EMC World a few weeks ago, and no stated plans for NVMe rollouts and just not a lot of detail on that front. So we continue to believe we have a nice full year advantage here, that we intend to take advantage of. Second area is, that we absolutely believe this is an area that we can drive a price premium, and so it's one where you can deliver -- derive performance improvements, performance density improvements, you can encourage more for that. And so we see that to be something that can be positive for our business. And then the third area, to get a little bit more to your question, as we see a net new set of used cases as it opens up. Certainly, faster database type workloads, traditional workloads, but also really going after consolidation in cloud type providers. A lot of the cloud vendors out there have really consolidated on server datas over the past few years, and now we have an opportunity to go in there with NVMe and take the flash out of each of those servers and consolidate it at the top of the rack to drive more efficiencies for them. And then, I guess the final point I will just sum up with was that, this transition from //M to //X, I think it has been a great feather in our cap to show the value of Evergreen. All of our competitors are going at this, likely from a position of going in once again, coming out with new products and big transitions. We are able to deliver this to our existing FlashArray customers and where it is totally transparent, allows them to piecemeal upgrade. And just -- for those people who [indiscernible] possible.
Scott Dietzen: So to wrap things up today, we had great success delivering on three priorities in our business, innovation, growth and our path to profitability, and all of that is setting up 2017 to be Pure's best year yet. We are making our data platform indispensable to our three core markets, clouds #4-#1000, next gen data driven applications that we discussed, as well as modernizing Enterprise IT, and we are widening our lead over the competition. So we are on track to deliver the $1 billion in revenue that we have guided for the year. There are numerous quantitative proof points around that, the predictable repeatable selling into our install base, that should deliver 70% of that revenue. The platform selling model across FlashArray, FlashBlade, and FlashStack. Continued improvements in our sales productivity, and the uptick in our competitive win rates against the top three competitors that we see. Why? Because we are launching more innovation in the first half of this year than we have ever done in the history of our company, and at the same time we are protecting our customer's investment. This is a rapidly changing market, and only Pure is providing every customer on-board, with investment protecting path to this future. We look forward to sharing much more about the road ahead at Accelerate, our user conference, which is June 12 to 14 in San Francisco. Please join us. Thanks as always for your time with us today, and we will speak to you again next quarter. Cheers.
Operator: This concludes today's conference call. You may now disconnect.